Operator: Hello, everyone.
Aline Anliker: A warm welcome to BW LPG Limited's Q4 2025 earnings presentation. My name is Aline Anliker, and I am the Head of Corporate Communications at BW LPG Limited. Today's presentation will be given by our CEO, Kristian Sorensen, and our CFO, Samantha Xu. After the presentation, we will have a Q&A session. The questions can be put into the Q&A chat during the presentation already, or you can raise your hand and ask your question directly once we move to the Q&A part. Before we begin, displayed on the current slide, I would like to highlight the legal disclaimers. Please also note that today's call is being recorded. Without further ado, I would now like to hand over to our CEO, Kristian.
Kristian Sorensen: Thank you, Aline, and hi, everyone. Thanks for calling in as we review our fourth quarter financial results and the recent developments, including the Middle East situation, which dramatically escalated last weekend. Let us turn to slide four, please. So, highlights. The beginning of Q4 was marked by lower in the US–China relationship as the reciprocal port tariffs were lifted and postponed until November. In addition, there was a significant build in US propane inventories well above trend levels, driven by strong US production. Over the winter, there were no major disruptions from the usual cold season weather, supporting a wide arbitrage throughout the fourth quarter and into 2026. Moving on to the Q4 results. We reported a TCE income of $50,300 per available day and $48,100 per calendar day, above our guidance of $47,000 per day for the quarter. The Q4 profit after minority interest was $104 million, equivalent to an EPS of $0.69. Our trading branch, BW Product Services, reported a gross profit of $27 million and a profit after tax of $23 million for the quarter, and we are pleased to report a strong realization of $12 million from our trading activities in Q4, bringing the full-year 2025 realized trading results to $66 million. For Q1 2026, we are guiding on about $54,000 per day fixed for 94% of our available days. These are solid levels above our all-in cash breakeven of $23,400 per day, but it is reflecting the time charter coverage in the first quarter of 42% of our available days at $44,200 per day. Please see the appendix in this presentation for the full breakdown of the time charter days and levels. The Board of Directors has declared a dividend of $0.57 per share, representing 100% of our shipping NPAT, exceeding the guidance set by the dividend policy. Looking further on our shipping activities, we are continuing our active drydocking program in 2026, with 13 vessels scheduled for drydocking. The majority of these are planned during Q1, with a total of 193 off-hire days expected during the first quarter due to drydocking. Given the dramatic escalation in the Middle East over the last couple of days, our first priority is to ensure the safety of our colleagues and crew in the region at the same time as we protect and optimize the overall interests of the company. We have three ships from our Indian-flag fleet in the Arabian Gulf, two on time charter to Indian charterers, and one vessel in dry dock. So far, there have been minimal negative financial impacts, only pertaining to the vessel in dry dock where the nighttime work is suspended. The two vessels on time charter are on hire in accordance with the respective time charter parties. In addition, we have all the vessels on time charter idling outside the Arabian Gulf, assessing the evolving safety and security situation in the Strait of Hormuz. Our next open spot vessel for AG loading could be available the last decade of March, unless we decide to ballast them to the US Gulf, depending on how the security situation and market develop. Like we have experienced in previous rounds of increased tension in the Middle East, the market response is to secure cargoes and ships from alternative loading regions, mainly from the US Gulf. We fixed one vessel yesterday at around $80,000 per day for mid-March loading, while other fixtures in the market are reported around the same level for first-half April loading in Houston. Further, in other subsequent events from the quarter, we recently announced that in January, we secured three-year time charter-out contracts for two VLGCs, the BW Tucano and the BW UG, increasing our full-year 2026 fixed-rate time charter-out coverage to 36% at an average of $43,700 per day. Let us move to the next slide, please. So although the main attention right now is on the impact from the Middle East war, we believe it is worthwhile to remind ourselves of the market fundamentals, as 2025 and the start of 2026 positively surprised the VLGC markets. By the end of 2025, US propane inventories were well above the trend level, at 100 million barrels, compared to 85 million barrels at the end of 2024. This was driven by strong production levels and supported the US export volumes, while domestic consumption remained steady at around 50 million tons per year. As we enter the inventory draw season, US propane inventories declined somewhat but remained well above the levels typically expected at this time of the year. The high inventory levels have contributed to continued downward pressure on US LPG prices and have, together with healthy demand in the Far East, supported a wide arbitrage as reflected in the US–Far East price differential. If you look at the graph on the right-hand side, we can see the relationship between the arbitrage and the VLGC spot rates. A wide arbitrage usually allows for higher willingness to pay for shipping, something that has been the case in recent months. In addition to commercial drivers, such as the US–Far East arbitrage, other geopolitical events and infrastructure expansions have also contributed to a strong market in recent months. Late October, for instance, the US and China agreed to a trade truce, paving the way for a revived US–China LPG trade. And further into January, we have also seen the Nederland terminal in the US Gulf increasing its number of VLGC loadings after commissioning the terminal expansion in 2025. And lastly, before the armed conflict commenced on Saturday in the Middle East, the increased tension in the region led to market participants fixing vessels further out in time than what they normally would have, creating a shortage of available vessels, ultimately pushing up spot rates. In addition to the factors we discussed on this page pertaining to the exports of LPG, it is also important to look at how the developments in the Asian import markets are shaping the LPG trade dynamics under the normal market circumstances. Next slide, please. On this slide, we can see how trade flows responded to several major disruptions during 2025, with trade tensions between the US and China being among the most significant during the year. Chinese imports on VLGCs from North America and the Middle East fell by 3% in 2025 compared to the year before. This number is, however, heavily impacted by a few months during 2025 where the trade tensions were at their highest and imports from the US were much lower than normal. Towards the end of last year, China also had lower imports than usual. This, however, coincided with Chinese LPG inventories declining. For the beginning of 2026, Chinese LPG imports are again on the rise, and the ongoing Middle East conflict is likely to support more cargoes from the US ending up in China as the Middle East supply is disrupted. As we have highlighted before, incremental LPG production is priced to clear in the international markets, and with the US–China trade war as a backdrop, this produced some interesting trade flows in 2025. For instance, LPG volumes into the Far East declined 2% year over year, while India saw its imports growing by 10% during the same period, driven by higher cargo flows from the US, increasing the ton-mile compared to the traditional sourcing of LPG from the Middle East. India is a market of growing importance for LPG, with about 10%, equaling 2 million tons, of Indian LPG imports contracted from the US for 2026. We also see Indian government subsidies continue supporting retail demand, and new pipeline infrastructure is expected to further improve inland distribution. Another region that saw an increase in import volumes from North America in 2025 was Southeast Asia. This region has historically imported most of its LPG from the Middle East; however, the trade war shifting more of the Middle East volumes to the Far East increased volumes from North America found their way to Southeast Asia last year. As long as the Middle East tension is halting LPG exports from the region, we anticipate more US volumes flowing to the markets east of Suez, which is supportive for freight in the short term. Over the longer term, however, vessels that have traditionally loaded in the Middle East are likely to see cargoes from the US, which could place downward pressure on the rate structure for US-loading VLGCs. Next slide, please. Looking at the two main regions for LPG exports, North America and the Middle East, we will continue seeing export growth in the years ahead, assuming the Middle East situation returns to normal. In the Middle East, the exports from Saudi Arabia and Qatar are disrupted, with duration of these disruptions remaining uncertain at this point in time. Secondly, the raging Middle East war has halted all ships passing in and out of the Arabian Gulf, which would have a dramatic impact on Middle East exports short term. It remains to be seen how long the large energy markets in Asia can accept their supply of hydrocarbons being choked. The US exporters probably have some slack and room for optimization as we move into April, but we have limited visibility at the moment. Anyhow, it is obviously not enough to replace the shortfall of volumes from the Middle East in the medium term. If we look through the current fluid and dramatic situation, Saudi Aramco has now started oil production from the Jafura field, with gas output expected towards the end of this year. Furthermore, the first phase of Qatar's North Field expansions is expected to come online in Q4. In the US, the Permian crude oil production continues to yield more NGLs per barrel of oil produced. In addition to this, more LPG export infrastructure is coming online, enabling continued growth in exports. In sum, we expect the larger North American region to grow its exports in the mid-single digits over the coming years, while Middle East LPG exports are expected to grow in the high single digits. Next slide, please. And let us take a look at the Panama Canal, which continues to play an important role for the VLGC markets. Throughout 2025, the Canal's Neo-Panamax locks frequently saw utilization close to its max capacity, often driven by increased transits from container vessels. This fueled volatility in transit fees and waiting time, which in turn continues to divert VLGCs around South Africa in order to timely reach their destinations. The Middle East situation may increase the traffic in the Panama Canal in the short term as market participants rush to secure cargo and shipping capacity from the US. While in the coming years, we expect usage of the Panama Canal to remain high. An important driver for this is growth in several shipping segments that, to a large extent, are being built for increased exports out of the US. This includes VLGCs, of course, but also very large ethane carriers and LNG vessels. Now, it is important to highlight that not all VLGCs and LNG carriers will service the US exports exclusively. They will also be shipping volumes out of the Middle East and other places, and some volumes out of the US will not be sailing through Panama. But regardless, considering the limited capacity of the canal to handle additional transits, we will likely continue to see VLGCs sailing around South Africa in the foreseeable future. Let us take a look at the current fleet and the orderbook. We can see that the fleet has grown in the last three months and now stands at 421 VLGCs on the water. The orderbook is currently at 105 VLGCs under construction, with delivery stretching all the way to 2028. We have seen some new orders for newbuildings this year; the contracting remains modest compared to the levels seen in recent years. While we expect more newbuildings to be delivered going forward, it is also worthwhile to keep in mind that 10% of the fleet is older than 25 years of age. So to sum up, the underlying fundamentals of the VLGC market are robust in the medium term, but the serious situation in the Middle East is increasing the volatility and uncertainty. The US Gulf spot rates are so far benefiting from increased demand for cargoes and ships, while the long-term conflict will probably increase the number of VLGCs seeking employment in the US Gulf and putting pressure on the rate sentiments. The US does not have enough production and export capacity to meet the shortfall of the Middle Eastern exports, and we will probably see a rather serious situation unfolding in the consuming markets in Asia unless the exports of hydrocarbons from the Middle East resume rather soon. Assuming the Middle East situation normalizes, the medium-term outlook is underpinned by expanding export infrastructure in the US and increasingly higher NGL content in the Permian oil production. At the same time, new gas projects are expected to support LPG exports out of the Middle East in the coming years. As mentioned, the VLGC fleet is now at 421 ships. The orderbook is relatively large, and the inefficiencies in the VLGC market will define how the orderbook will be absorbed. Firstly, the Neo-Panamax locks in the Panama Canal are operated at or near full capacity, and growth in several shipping segments linked to increased US exports likely continues to divert VLGCs around South Africa. Secondly, the trade pattern will play a vital role in how much shipping capacity is needed, and we have seen new long-haul cargo flows from the US into markets east of Suez. And thirdly, if you envisage a normalization in the Middle East involving 11 million tons of Iranian LPG exports being shipped on compliant vessels rather than the shadow fleet, which currently counts about 50 VLGCs, you will have a rather bullish outlook, pretty similar to how it would play out in the VLCC tankers market. Finally, looking at the paper market at the moment, it is pricing itself around $85,000 per day for the rest of the Ras Tanura–Chiba benchmark leg, although the liquidity remains limited. That concludes our market segments. To you, Samantha.
Samantha Xu: Thank you, Kristian, and hello, everyone. Thank you for being here with us today. I will start with our shipping performance. 2025 has been a quarter that we deliver above the guidance, with a TCE of $48,100 per calendar day, or $50,300 per available day. The fleet utilization was at 94% after deducting technical off-hire and waiting time. Delivering this healthy result in a market full of uncertainties is a strong testament to our commercial strategy, which builds on healthy time charters and FFAs concluded during active and strong markets. Such protection provides stability and support when spot markets come under pressure, as we have witnessed in this quarter. In Q4, the time charter portfolio was 44%, out of which 33% was fixed-rate time charters. Looking ahead for Q1 2026, we have fixed 94% of the available fleet days at an average rate of about $54,000 per day. This also includes index-linked time charter contracts, which could share some spot market upside when the market becomes stronger. For full-year 2026, we have secured 40% of our portfolio with fixed-rate time charters and FFA hedges, at $43,747.90 per day. Altogether, our time charter-out portfolio is expected to generate around million. Although the level of rates appears to be slightly lower than 2025, it continues to represent a very healthy level of earnings against an all-in cash breakeven of low $20,000. Next slide, please. In Q4, Product Services posted a realized gain of $12 million, reflecting effective risk management in the turbulent market conditions that we experienced. At the quarter end, we reported a $33 million increase in mark-to-market on our cargo position, offset by an $18 million decrease in paper positions. After accounting for G&A costs and other expenses, Product Services reported a net profit after tax of $23 million for the quarter, with net asset value at $53 million at December, creating good dividend capacity. As we highlighted in previous quarters, these mark-to-market movements, which regularly give volatility to P&L, are largely driven by the gradual phasing-in of our multi-year term contracts, as reflected in a volatile market. While the periodic value adjustments are significant, they reflect the delta between the balance sheet dates and will see fluctuations before the positions are realized. We will continue to report our future trading performance, including mark-to-market, via our quarter-end trading result updates. We are pleased to see that the analyst consensus have, in general, included our trading performance. It is also important to note that trading gains and losses are realized across different financial periods; they cannot be extrapolated from past performance, as unrealized positions will vary depending on year-end valuations. The realized trading profit, though, will add to the company's dividend potential and be considered for dividend distribution post year end, along with other factors such as net profit after tax, cash flow, and other commercial considerations. Our trading model is designed to create value by combining cargo, paper, and shipping positions. With that in mind, we would like to remind you that reported net asset value does not include unrealized physical shipping positions of $26 million, based on our internal valuation. In Q4, our average VaR, value at risk, was $3 million, reflecting a well-balanced trading book, including cargo, shipping, and derivatives, even after accounting for the increased term contract volume that is scheduled to start from the end of 2026. Going on to our financial highlights. We reported a net profit after tax of $123 million, including a profit of $31 million from BW LPG India and a $23 million profit from Product Services. Profit attributable to equity holders of the company was $104 million for the quarter, which translates to earnings per share of $0.69 and an annualized earning yield of 21% when compared against our share price at the end of December. We reported a net leverage ratio of 28.4% in Q4, down from 32.7% at the end of 2024. The reduction was mainly due to lower lease liabilities, following the exercise of a purchase option of BW Kizuku and BW Yushi, and principal repayment made during full-year 2025. For Q4, the Board declared a dividend of $0.57 per share, representing a 100% payout of our shipping profit for the quarter, beyond the 75% payout ratio of our shipping profit guided by our dividend policy. The healthy liquidity and positive outlook of the market supported our wish to pay back to our shareholders. For the period end, our balance sheet reported shareholders' equity of $1.9 billion. The annualized return on equity and return on capital employed for Q4 were 26% and 19%, respectively. Our 2025 OpEx concluded at $8,800 per day, a marginal reduction from last year. For 2026, we expect our owned fleet's operating cash breakeven to be about $18,500 and $20,200 for the whole fleet, including time charter vessels. The all-in cash breakeven is estimated to be $23,400, driven primarily by lower lease repayments and a decrease in financing cost. Next slide, please. Finally, let us look at our financing structure and repayment profile. As of end Q4, we maintained a healthy liquidity position of $613 million, consisting of $226 million in cash and $387 million of undrawn credit facilities. This is after voluntary cancellation of a two-ship financing facility, including $36 million repayment and $260 million undrawn revolving facilities. This cancellation reduced our funding cost and level of cash breakeven, further strengthening our financing discipline. Looking ahead, liquidity stays strong, repayment profile remains sustainable, with major repayments starting from 2030. On Product Services, trade finance utilization stood at $182 million, or 23% of available credit line, leaving ample headroom for future trading needs. With that, I would like to conclude my updates. Thank you for listening, and I give it back to you, Aline.
Aline Anliker: Thank you, Samantha. Thank you, Kristian. We would now like to open the call for your questions. Please, you can type your questions into the Q&A channel, or you can also click the raise hand button to ask your question verbally. Please note that you have been muted automatically when joining the call; please press unmute before speaking. I would like to start with the verbal questions first before then moving on to the chat. I can see already that Petter has raised his hand. So please proceed, Petter.
Petter Haugen: Good afternoon. Thank you. A quick, very difficult question first then. About the Middle East unrest. In terms of the current Iranian volumes, is there any indication that Iran is still exporting LPG, or has that now come to a complete halt? And secondly, are there any convoys now planned for other exporters within the Arabian Gulf? And if so, what is the war-risk premium paid these days?
Kristian Sorensen: Thanks, Petter. We do not have the full overview of the exports from Iran under the current circumstances, but there are, let us say, unconfirmed reports that ships are still planned for exporting LPG and being through convoys, basically sailing to China. But we do not know if this is just market rumor or if it is actually a real effect. So, and your second question, Petter, what was that again?
Petter Haugen: No, well, the first one was more about the Iranian-specific questions, and the second one was about the convoys, I suppose, then for other sort of legitimate exporters.
Kristian Sorensen: Yes. So we do not have any concrete news about convoys being established at the moment. This is something we have seen if you look historically back to when the pirate attacks were peaking and also previous wars in the Middle East. There have been convoys with naval escort vessels established, but that is something we have no firm news about at the moment.
Petter Haugen: Understood. And if you were to do the transit here now, is there insurance, or is it possible to get insurance? And what is the war-risk premium paid these days?
Kristian Sorensen: As far as we have been informed, you will not get ships insured if you pass into the Arabian Gulf through the Strait of Hormuz at the moment. But this is changing from day to day, Petter, so it is hard to give an exact answer to what would be the case tomorrow. But for the time being, that is something which is difficult to assess. Yes.
Petter Haugen: No. So effectively now, the Hormuz is actually closed, for LPG vessels at least. More or less.
Kristian Sorensen: As far as we can see, there are no ships on the conventional fleet shuttling in and out of the Arabian Gulf. But again, what is actually happening with the shadow fleet, which is about 50 old ships shuttling between Iran and mainly China, that is unclear.
Petter Haugen: Understood. Understood. A quick follow-up on the FFA rates, and to what extent would you think that those rates now quoted, we see that it is pretty similar in terms of day rates out of the US and out of the Middle East. But in the VLCC market, we have seen some numbers which are, well, from what we hear, not particularly relevant, being very high. So now the FFA market is pricing in some $80,000 plus. Is that also a level at which you can fix ships in the TC market these days?
Kristian Sorensen: Before the weekend, there were reports about a one-year time charter done in the mid-$50,000s per day. So far this week, with the current situation, we have not heard any discussions about any discussions, and I think the situation is so fluid at the moment, so it is hard to give an assessment on that. But the last one in the market is reportedly in the mid-fifties per day for 12 months.
Petter Haugen: Okay. That is helpful, Kristian. I will turn it over. Thank you for taking my questions.
Aline Anliker: Thank you, Petter. I have Climent up next. Please, if you unmute yourself.
Climent Molins: Hi. Good afternoon, and thank you for taking my questions. Several US LPG projects have come online. You commented on this briefly, but at what utilization was overall US LPG export infra running prior to the war? So, in other words, to what extent is there, let us say, spare capacity to increase volumes out of the US in the short term?
Kristian Sorensen: This is a very good question, and we discussed this yesterday at the desk, actually. We believe the US terminals have some slack capacity to export more volumes if they optimize the berthing, which you have seen them do before, for instance by loading VLGCs instead of midsized vessels, so you basically have a more optimal usage of the jetties and the berths. We do not know exactly whether all the midsized vessels can be replaced by VLGCs—most likely not—but probably the US has some slack in their export volumes. It is difficult for us to assess exactly because we do not have enough visibility on the April loadings at the moment, so it is hard for us to say, but we anticipate some slack to be made available for VLGCs.
Climent Molins: Makes sense. That is still very helpful. I will turn it over. Thank you.
Aline Anliker: Thank you. Next up would be Joy Wu.
Joy Wu: Hi. Yes. Thanks. I have two questions. So first thing is I would like to understand on the overall fleet, from what we have known until now, is there any vessel getting because of the Iran situation escalation over the weekend? And also looking forward, let us say two weeks, is there any vessel that is unable to detour to avoid the high-risk waters as far as you are aware, or is there any so-called crisis management that has been put in place for all the fleet nearby the risky waters? Yes. This is my first question.
Kristian Sorensen: If I understand you, you are asking if ships can be diverted from loading in the Middle East. Is that your question?
Joy Wu: Yes.
Kristian Sorensen: Of course, the ships which have not yet entered the Arabian Gulf and are outside in the Indian Ocean, for instance, they can always start ballasting towards the US Gulf or other loading areas to seek employment. This is basically down to the decision made for every single vessel in the region which is not inside the Arabian Gulf. It depends: if the ships are on time charter, it is up to the charterers to decide where they want to employ the ships. If it is part of the spot fleet, the one I mentioned, our first ship which could be available for a spot cargo out of the Middle East is towards March. But, of course, if the situation is as serious as it is now, we will rather ballast the ship to the US Gulf to employ the ship, if that makes sense.
Joy Wu: Yes. Thanks. And sorry to, on top of that, can I just confirm there is no vessel currently sort of stuck in that risky region near Iran?
Kristian Sorensen: Are you thinking of our fleet or the VLGC fleet in general?
Joy Wu: Your fleet, including all the so-called managed fleet, per se.
Kristian Sorensen: As mentioned in our highlights, we have two ships from our Indian-flag fleet on time charter to Indian charterers, which are in the Arabian Gulf, still on time charter, and we have one vessel in dry dock in the region, also Indian-flagged. You will see that also being mentioned in the highlights page, slide four.
Joy Wu: Okay. Got it. But do we see any serious coming up concerning these three—that two actually, one in dry dock, one is in the risky zone, sort of? Do we foresee any financial impact or any drastic negative developments to these three vessels?
Kristian Sorensen: So far, there is minimal negative financial impacts only due to a slight delay in the drydocking of the ship in dry dock, and we do not have any threats to our ships or crew at the moment. So there are no direct threats, but it is an overall view on the market and the situation that is making us avoid the transits through the Strait of Hormuz.
Joy Wu: Okay. Thanks.
Aline Anliker: Thank you, Joy. Let us move on to John Dixon first before we then have Abhishek. Please, John, go ahead and unmute yourself.
John Dixon: Hello, Kristian. Samantha. How are you doing this morning?
Kristian Sorensen: Well, I guess I am here. How are you?
John Dixon: Kristian, I do have a question. So I have listened to Samantha for a little while, a couple quarters, and relating to the trading profit that would be eligible for dividend distribution. Is that included in your current dividends, or are you planning on having your Board review that later in the year for dividend distribution? I am just curious to see if I can learn a little bit more how that is considered and when you are likely to have that be a part of your dividend distribution.
Samantha Xu: Thanks for the question, John. That is a very good one, and also for following up our previous quarter earnings as well. Indeed, as we mentioned, Product Services—basically their realized trading result—will build on our dividend capacity, and then we would like to look at it to declare once a year post year end. So specifically for Q4 2025, the $0.57 per share dividend declared by the Board is only 100% shipping NPAT; it does not include any contributions from Product Services. However, the Product Services Board has already reviewed the proposal and also approved the dividend proposal for Product Services for 2025, and the approved dividend will subsequently be considered in the future quarters within 2026 and distributed to the shareholders accordingly.
John Dixon: Okay. So that basically would be distributed on a quarterly basis throughout the remainder of the year. Is that what I am understanding?
Samantha Xu: No. It would be forming the overall company dividend capacity. You can imagine that we will have a bigger base for considering the dividend distribution for the upcoming quarters.
John Dixon: Okay. Alright. I understand that now. Thank you, Samantha. I appreciate the explanation.
Samantha Xu: Thanks, John.
Aline Anliker: Thanks, John. Next up, we have Abhishek. Please.
Abhishek: Hi. Good evening. I have two questions. One, you mentioned that there are three ships which are stuck in the conflict zone. May I know the name of these three ships? And second, last year you raised borrowing for acquisition of new ships, basically new vessels in India. So, I mean, as per presentation also, we can see that India is a high-growth market for you. So do you plan any further new acquisition of fleet in India this year?
Kristian Sorensen: Thank you for the questions. The ships are BW Element, BW Elventier, and BW Loyalty from the Indian-flag fleets. When it comes to further expansion of the Indian-flag fleet, that is something we are considering. It depends also on the employment that we see and where we can employ our ships most efficiently to ensure solid and robust shareholder value creation. So it is definitely something we are considering, but it remains to be seen if we decide to do so.
Abhishek: Okay. Thanks. Yes.
Aline Anliker: Thank you. Let us move on to some questions from the chat. We have a question posed by Kevin: Is there an option to delay drydocking to take advantage of current high charter rates?
Kristian Sorensen: This is something we are always considering. It should be said that these immediate spikes that we experience now, for instance, are difficult to plan for, and these drydockings have to take place within a certain time. We try to optimize depending on the market view and so on, but it also needs to fit into the commercial program, and of course we also need to have available space at the docking yards. So the question is: yes, we try to plan around this. Usually, the first quarter is the weakest quarter of the year. If you look back in time, there have been several years where the rates are softening considerably in January, February. This was not the case this time. But of course we plan around optimizing the fleet positioning so that we can hopefully have all the vessels in position at the best point in time of the cycle in the market.
Aline Anliker: Thanks, Kristian. Another question from the chat: Has the current war disruption led to higher long-term charter rates?
Kristian Sorensen: So far, we have not seen that, and again, these are very recent developments, so there have not been any serious talks about time charters so far.
Aline Anliker: Then another one from Kevin: Have scrapings increased recently, and will that continue or be delayed in 2026 due to the elevated spot rates?
Kristian Sorensen: Scrappings, as you allude to, very much depend on the underlying freight. As long as we see the freight market operating at the current levels, we do not really see much scrapping activity, if anything at all. These ships can technically trade for many more years after they turn even 30 years of age. So, technically, if they are well maintained, they can still sail across the seven seas.
Aline Anliker: The last one from Kevin: Will the three ships in the Gulf region of conflict be at risk for lower revenue than currently expected?
Kristian Sorensen: For the time being, that is not the case. Two of the ships are, like mentioned, on time charter in accordance with their time charter parties, and for the ship in dry dock, we will see when she gets out of the dry dock. We see there are certain needs in the region to employ ships as well. We will see what happens, because the spot market and the freight market is evolving day by day here. But so far, no impact as far as we can see.
Aline Anliker: Thank you, Kristian. If you either want to type into the chat or raise your hand, there is still some time for more questions. I see one hand up. Carl, if you would like to unmute yourself. Carl Heine, can you hear us?
Carl Heine: Yes. Yes. Can you hear me?
Aline Anliker: Yes, we can.
Carl Heine: Could you comment a little bit about the capacity expansion in the US—Energy Transfer, Enterprise Product Partners? How I read that it is about 250,000 and 300,000 barrels a day in new export capacity. Probably not all of it will go on VLGC, or we cannot really—
Kristian Sorensen: We cannot really hear you that well, to be honest.
Carl Heine: You cannot hear me? Hello? Explore Africa with fear.
Aline Anliker: If you just speak up a bit louder, if that is possible.
Carl Heine: Yes. I wanted you to comment on the capacity expansion in the US—the exports—and how many ships you think that will, or how many ships you will need to cover that expansion?
Kristian Sorensen: This depends on the trade pattern, like I also mentioned in the presentation, and also how the Panama Canal is congested or not congested in the time ahead. It is a very big difference if the ships are sailing through the Panama Canal to Northeast Asia, or, like we have seen recently, more and more ships sailing around South Africa into India and Asia, which is absorbing more shipping capacity actually than if you sail the milk routes from the US through Panama to Northeast Asia, quick turnaround and back again. I think it is hard on the spot to simulate that exactly, but we can—
Carl Heine: A high–low number?
Kristian Sorensen: Sorry. How many ships?
Carl Heine: No, I said you can just provide a high and a low.
Kristian Sorensen: Sorry. A high number of ships needed for the exports. Is that what you are asking for?
Carl Heine: Yes. You can just give us—are you low or high?
Kristian Sorensen: Are you talking up until 2028, or is it within this year?
Carl Heine: I was thinking first and foremost this year, but I could get both answers, please.
Kristian Sorensen: I need to get back to you on that exactly, to be honest, because I do not have that number in front of me. I will get back to you on that when I have looked at the numbers.
Carl Heine: But these two projects, when do you think they will come online in '26?
Kristian Sorensen: You mean Enterprise—the two Enterprise expansions, right?
Carl Heine: Yes, and Energy Transfer.
Kristian Sorensen: Energy Transfer is already ramping up as of the beginning of this year—end of last year, beginning of this year. Enterprise is expanding their flex capacity first, and then secondly the LPG-specific capacity, which is later this year. You will see in our previous investor presentation, we have it stacked up on slide number six, is it not? Yes.
Aline Anliker: Alright. Thank you. Any more questions before we round up?
Aline Anliker: If not, thank you, Kristian. Thank you, Samantha. Hold on. I just see another hand. Okay. Well, okay. We have—let me check. Okay. We have a couple of minutes. So, Choi, if you would like to unmute yourself, please.
Joy Wu: Yes. Thanks very much. I will make this quick. So going back to the three vessels, Indian flag, in the risky zone, I could not get the names. I think I heard two names. One is Element, one is Loyalty, and one is the drydocking vessel's name?
Kristian Sorensen: Yes. Elventier and Loyalty are the ships' names. Sorry. Element, Elventier, Loyalty—that is the three vessel names.
Joy Wu: Okay. Okay. Thanks.
Kristian Sorensen: Okay. Thank you.
Aline Anliker: Well, thanks a lot to all our key stakeholders for joining us for today's call. Thank you, Kristian. Thank you, Samantha. This will conclude BW LPG Limited's Q4 2025 earnings presentation. The call transcript and the recording will be available on our website shortly, and again, thanks for dialing in. We wish you a good rest of your day and look forward to seeing you again next quarter. Thank you.